Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Ralph Lauren Fourth Quarter 2014 Earnings Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Instructions on how to ask a question will be given at that time. (Operator Instructions) As a reminder, this conference is being recorded. I would now like to turn the conference over to our host, Mr. James Hurley. Please go ahead.
James Hurley: Good morning, and thank you for joining us on Ralph Lauren’s Fourth Quarter and Full Year Fiscal ‘14 Conference Call. The agenda for this morning’s call includes Jacki Nemerov, our President and Chief Operating Officer, who will give you an overview of the year and comment on our broader strategic initiatives. Chris Peterson, our Chief Administrative Officer and Chief Financial Officer, will provide operational and financial perspective on the fourth quarter, in addition to reviewing our initial expectations for fiscal ‘15. After the company’s prepared remarks, we will open the call up for your questions, which we ask that you limit to one per caller. During today’s call, we will be making some forward-looking statements within the meaning of the federal securities laws, including our financial outlook. Forward-looking statements are not guarantees, and our actual results may differ materially from those expressed or implied in the forward-looking statements. Our expectations contain many risks and uncertainties. The principal risks and uncertainties that could cause our results to differ materially from our current expectations are detailed in our SEC filings. With that, I’ll turn the call over to Jacki.
Jacki Nemerov: Thank you, Jim, and good morning, everyone. We are pleased to be reporting better-than-expected fourth quarter and full year fiscal 2014 results today. Our 14% revenue growth and 23% increase in earnings per share for the fourth quarter were result of double-digit top line expansion in each of our major geographic regions, with Europe and Asia leading the pace in addition to strong profit flow-through for core operations. The results reflect an acceleration from the third quarter’s strong growth rate despite a challenging retail environment, particularly in the United States. Our full year sales growth of 7% and earnings per share of $8.43 represents record levels for us and were achieved even with substantial investments in our growth initiatives and infrastructure, and in the phase of unfavorable foreign exchange headwinds through the quarter. When we provided our fiscal 2014 outlook a year ago, we characterized it as a tale of two halves. We spoke about our spending margin being down in the first half impacted by more modest sales growth and upfront expenses related to the integration of formally licensed operations and pre-opening costs for new stores. And we spoke about our second half in terms of an acceleration in revenue trends and improved profitability, as a result of realizing the benefits of those newly integrated businesses and the store openings. The year played out as we anticipated, in fact a bit better than expected in the second half, which clearly demonstrates the discipline of our organization, to both, manage the business in real-time and plan for the future. Fiscal 2014 was also a year of important progress on each of the company’s long-term growth objectives of extending our direct-to-consumer reach, expanding our international presence, innovation with new products and investing in our infrastructure. Our achievements included the creation of Polo for women, the seamless transition of our Chaps men’s sportswear business from licensed to owned, the integration of the Australia/New Zealand territories into our organization and a doubling of the size of ralphlauren.com’s North American distribution center and a smooth transition to SAP for many of our most critical operations. We also established a new leadership structure designed to enhance our progress on our long-term growth objectives. We opened 46 stores during the year, which was an acceleration from the prior year and consistent with our focus on extending our direct-to-consumer reach. We also established greater clarity around our retail growth objectives with Polo stores being an exciting new evolution in our direct-to-consumer efforts and a compelling complement to our Ralph Lauren luxury stores. Our global e-commerce operations experienced another year of strong double-digit expansion. We expect this to continue to be one of our fastest growing channels over the next several years, bolstered not only by consumer confidence in buying online, but also by new leadership of our e-commerce team and a site re-platform that will enhance functionality and allow us to provide an even stronger brand and customer experience. Turning now to our product. Both luxury apparel and accessories experienced significant growth during the year. Our men’s Purple Label and Black Label lines were more fully developed through additional sportswear and Denim elements respectively to provide more breadth to the product offering and more depth to their lifestyle expressions. Men’s and Women’s Black Label performance was particularly strong as we see customers around the world connecting with this brand’s modern streamlined sensibility. We also saw a continued momentum in outerwear and handbags, with consumers responding positively to the distinctiveness of our aesthetic in these areas. Dresses were important driver of growth in women’s wear during the year. We began a more concerted focus on dresses about five years ago to both capitalize on an emerging trend and to express our brand voice in a category that was becoming increasingly important to the consumer. In a short period of time, through a combination of design trend, fit expertise and excellent value proposition and of course the stronger feel of our brand, we’ve established ourselves as a dominant force in the dress category with market leadership across nearly all of our wholesale distributions. Club Monaco also had a fantastic year building on strong multiyear trends. The momentum has been equally strong at Club Monaco’s 57 directly owned North American stores, e-commerce operations and in international markets with the brand that is present in over 120 points of distributions, mostly concentrated in Asia. Club Monaco occupies a unique niche in the market offering the contemporary customer distinctive, on-trend merchandize at a great price. While women’s has been a consistently strong performer over the years, the men’s business have made great progress, thanks to the clarity of design direction in aesthetic which is coming through in both the product and the shopping environment. We supported Club Monaco’s development by investing in growing and renovating the store base, most notably with the brand’s spectacular new flagship in New York. Based on the success we’ve already seen, we intend to accelerate store development for Club Monaco in fiscal 2015. As we look to the future, I’d like to provide some perspective on three key initiatives that we believe will become meaningful drivers of sales and profit growth over the next three to five years. The first initiative is what I’ll call the intensified development of the Polo brand. Polo achieved significant milestone in fiscal 2014 with the creation of Polo for women. We are very excited about the long-term potential for women’s Polo, especially given the broad global success of our men’s Polo product. Today, the split between our men’s and women’s mix is about 60/40. The overall marketplace is in the reverse, and we believe the introduction of women’s Polo is an opportunity for us to increase the penetration of our women’s business. Women’s Polo will replace our existing women’s Blue Label line, so the launch is not entirely incremental for us in the near-term. Over the long-term however, we believe the breadth and scope of the lines aesthetic, fitting price points will address a much broader market than we did with Blue Label. We are also taking back our men’s clothing license and will be launching an expanded line of Polo tailored clothing this Fall. This more comprehensive assortment of suits, sports clothes and trousers will allow Polo to establish its strong foothold in these essential aspects of a man’s wardrobe. Tailored clothing has always been an integral part of the Ralph Lauren DNA and is the perfect complement to Polo’s leadership in sportswear. We are also in the early stages of executing our plan to open Polo stores worldwide. We believe these stores will be a wonderful counterpart to our valued North America and European wholesale distribution. Polo stores will likely become the brand’s primary distribution platform in certain international markets such as Asia and parts of Latin America, where the wholesale channel is less developed. Between those operated by us and those operated by local partners around the world, we have 13 Polo stores today with approximately 15 to 20 planned for fiscal 2015. We are testing a variety of store formats as we refine our approach to market before accelerating growth. Over the long-term, we believe there is an opportunity to have between 100 and 200 Polo stores worldwide, and with also concentration in international markets. Our second initiative is the global e-commerce development. In fiscal 2014, we achieved $500 million in revenues through our directly operated e-commerce sites. That milestone was achieved as a result of sustained investment in the business, including distribution centers, customer service centers and building out our international operations. Based on the high growth and the profit creative dynamics of the channel, we intend to continue investing in this space. In fiscal ‘15, we will begin a three-year project to upgrade our e-commerce operations by transitioning to a new global operating platform. This is a proactive investment to advance our ability to continue to deliver best-in-class online and mobile customer experiences, as well as leverage omni channel opportunities more effectively. The global nature of the platform will provide a singular way for us to manage our customer touch points and experiences across regions and channels ensuring a consistent brand experience worldwide. With the additional capabilities of a more sophisticated platform, and an expectation of continued double-digit growth for the channel, we’ve set our sights on achieving $1 billion in annual e-commerce revenues. The third initiative is accessories in general and leather goods in particular. I’d like to provide some perspective on the excellent progress we’ve made with our leather goods offerings which include handbags, footwear, belts and small leather goods. Beginning with footwear, which we converted from a licensed to owned model in 2006, we’ve now spent two years reimagining our offerings and building the appropriate leadership, design talent and sourcing capabilities to elevate the quality and support our distribution and growth aspirations. We relaunched footwear in 2008 and have made tremendous progress since then establishing ourselves as an important player in the category. 2008 was also the year we assumed direct control of our handbag and small leather goods licenses. We’ve grown the leather goods category at a 20% compound annual rate. As you know, we’ve made big commitment to the Ricky bag as our most iconic silhouette. The customer response to the quality and versatility of the product, and to our advertising and marketing efforts has been extraordinary and the momentum continues to build. In total, handbags, footwear and small leather goods represented a high-single-digit percentage of our consolidated sales in fiscal 2014. We expect leather goods to grow faster than the overall company for the next several years, supported by expanded offerings and increased distribution. Our initial goal is for leather goods to represent 20% of our consolidated revenues, a target that should also have favorable margin implications. The three initiatives I’ve just highlighted make it clear that we have a lot to achieve. With this in mind, we’ve spent a considerable time developing and implementing the optimal leadership and organizational structure over this last year, one that we believe positions the company for continued growth and success. As you know, we recently appointed a President of Ralph Lauren Luxury Collections with global responsibility for the strategy, merchandizing, distribution and overall expansion of apparel and accessories for our men’s and women’s collection brands. We’ve also made other important structural changes to our broader senior management group. These changes have moved some of our high performing talent into roles with more global oversight. This leverages their experience and subject matter expertise allows us to more easily and confidently apply successes in one channel or region to another and evolve the more regional orientation we had in the past. We have consolidated oversight of the Americas under one leader, which is consistent with how we manage our operations in Europe and Asia. This new structure should enable us to better execute an omni channel approach, more effectively leveraging our robust planning, allocation and merchandizing expertise. We also combined our sourcing and manufacturing operations with our distribution and logistics team, creating a fully integrated end-to-end supply chain organization. These changes are aligned with the progress we’ve made in other areas of the company, such as the creation of the global merchandizing team we’ve spoken about before and the more global oversight that Chris has instituted in finance and IT. We believe that this streamlining of responsibilities allows us to be more nimble and responsive as an organization and to operate with a higher degree of global consistency. This new structure will enable us to make faster decisions, drive greater operational efficiencies and build a more effective go-to-market process. The changes have all been well received by the organization and we are settling nicely into the new structure with Ralph, Chris and I spending the appropriate time to ensure that everyone is transitioning smoothly into their new roles. I am sure most of you have seen that Roger Farah will retire from Ralph Lauren at the end of May. We are enormously grateful for the leadership and dedication, Roger has provided over the last 14 years. In partnership with Ralph, he has guided the company to a period of tremendous growth in sales and profits. In doing so, he has built an impressive team and his characteristic balance of prudence and creativity is a legacy that is ingrained in our culture, and certainly in everyone he has mentored over the years. Roger, you are like none other and we wish you and your family all the best. The strength of the Ralph Lauren brand and the positive customer response to our expanding range of product offerings puts us in the best possible position to achieve our growth objectives. Before I turn the call over to Chris, on behalf of the office of the chairman, I’d like to thank our global team for their contribution to our record fiscal 2014 results. As Ralph said in this morning’s press release, their creativity, passion and diligence is incredibly invigorating and they are a critical ingredient in our ability to deliver sustainable, profit enhancing growth over the long-term.
Chris Peterson: Thank you, Jacki, and good morning, everyone. As you’ve seen in this morning’s press release, we’re reporting strong fourth quarter sales and profit results today. Let me start with a brief recap of the quarter. Consolidated net revenues rose 14% to $1.9 billion, reflecting robust wholesale segment growth and strong retail segment expansion. Revenue was up double-digits in each of our geographic regions during the quarter. The revenue results were better than the expectations we articulated in February due to stronger wholesale revenue as we gained market share in North America and returned to robust growth in Europe. For the full year, net revenues grew 7% to $7.4 billion and were up 9% excluding the impact of discontinued businesses and foreign exchange. Gross profit margin of 56.2% was 310 basis points below the prior year period. The decline in gross profit margin is primarily attributable to the mix impacts from the integration of the Chaps men’s sportswear operations, the mixed impact from stronger wholesale revenue growth and negative foreign currency effects in the quarter. Operating expenses rose 4% to $825 million, but the operating expense rate of 44.2% was 400 basis points below the prior year. We delivered substantial cost leverage on strong sales growth, which was achieved despite continued investments in the company’s long-term strategic growth initiatives in infrastructure. Operating income rose an impressive 24% to $225 million in the fourth quarter, which was achieved on top of a 33% increase in the prior year period. Operating margin improved 90 basis points to 12%, which was at the high-end of the outlook we provided in February. Operating income of $1.1 billion for the full year of fiscal 2014 period was modestly above the prior year. Operating margin declined 100 basis points to 15.2% due to unfavorable foreign exchange and the mix impact from integrating the Chaps men’s sportswear operations. Net income for the fourth quarter was $153 million, 20% greater than the prior year period and net income per diluted share increased 23% to $1.68. The significant increases in net income and net income per diluted share were achieved on top of strong double-digit increases in the prior year. Higher operating income drove the strong growth in net income and net income per share. The effective tax rate of 30% compared to 25% in the fourth quarter of fiscal ‘13 primarily due to a favorable discrete tax item in the prior year period. For fiscal 2014, net income rose 3% to $776 million, and net income per diluted share increased 5% to $8.43. Before I move onto segment level highlights, I want to discuss some changes we’ve made in our segment reporting. As Jacki mentioned, we’ve reshaped our organization structure to better support our long-term strategic growth objectives. Specifically, we’ve expanded the scope and reach of our centralized global shared service organization. We believe this change will increase productivity by enabling faster and more consistent execution against the company’s key growth strategies. It also provides an opportunity for us to leverage our scale in a more cost effective manner going forward. As a result, we’ve organized key functions such as design, merchandizing, advertising, supply chain, finance and IT to operate on a global basis. And certain of those costs that used to be allocated to our wholesale, retail and licensing segments are now reflected in the unallocated corporate expense bucket. While this changes the financial information of our segments, as you see in this morning’s press release, the change has no impact on the company’s consolidated financial statements. Moving onto segment highlights for the quarter. Wholesale revenues of $983 million were an impressive 24% greater than the prior year period, driven by double-digit expansion for most merchandize categories in the Americas, including strong growth in accessories, the contribution from Chaps men’s sportswear operations and double-digit growth in Europe. Wholesale operating income grew 25% to $296 million in the fourth quarter on top of double-digit growth in the prior year period. And wholesale operating margin increased 40 basis points to 30.1%. The improvement in wholesale operating margin was due to stronger profitability for core operations, which more than offsets the mix impacts from the integration of Chaps men’s sportswear and negative foreign exchange effects. Fourth quarter retail segment sales rose 5% to $845 million, driven by growth in international operations and global store expansion, including newly transitioned operations in Australia and New Zealand. Excluding the impacts of discontinued businesses in foreign exchange, retail sales rose 7%. Our North America retail operations were negatively affected by the cold and late start to spring and the Easter shift from March to April, which caused traffic to decline during the quarter. Double-digit growth in our European and Asian retail sales was strong enough to overcome the pressure in North America. Retail segment operating income was $51 million in the fourth quarter and the retail operating margin was 6.1%, 400 basis points below the prior year. The lower retail operating income margin reflects costs associated with the company’s global store and e-commerce development efforts and negative foreign exchange impacts. Retail operating margin was also affected by increased promotional activity in the U.S. where the promotional tenor of the marketplace intensified in the post-holiday period due to the unseasonable weather conditions. We anticipated a more intense promotional landscape when we provided our fourth quarter outlook in February, and our results actualized better than we expected at that point in time. Licensing revenues of $39 million in the fourth quarter were 10% below the prior year as mid-single-digit growth in licensing revenues for Ralph Lauren products was more than offset by lower revenues as a result of the Chaps and Australia/New Zealand license take-backs. Operating income for the licensing segment was $35 million, in line with the prior year period. Consolidated inventory was $1 billion at the end of the fiscal year, reflecting incremental inventory associated with newly transitioned Chaps and Australia/New Zealand operations and investments to support anticipated sales growth for existing operations and new store openings. We spent approximately $390 million on capital expenditures to support new retail stores, shop installations and infrastructure investments during the year. Company repurchased 3.2 million shares of its common stock during fiscal ‘14 at a cost of $548 million, and returned an additional $149 million to shareholders via dividend repayments. In total, the company returned approximately $700 million to shareholders during the year. At the end of the fourth quarter, the company had $580 million available under previously authorized share repurchase programs for future buybacks, and we ended the year with approximately $1.3 billion in cash and investments. We are pleased with the strong fourth quarter and full year results, particularly with the accelerated top line trends. Disciplined planning and day-to-day execution enabled us to overcome meaningful foreign exchange and environmental headwinds and deliver higher profits even as we continue to make substantial investments in our global retail development and product innovation and in our infrastructure to support our long-term growth objectives. Now I’d like to turn to fiscal ‘15. As we articulated to you in February, we expect to maintain strong revenue growth this year. We are increasing our investments in the business to support that momentum and longer term shareholder value creation. The key areas of focus in fiscal ‘15 include global retail development, infrastructure investments and increased advertising and marketing. With respect to retail store development, we plan to open approximately 40 to 45 new stores in fiscal 2015, a pace we’ll likely maintain over the next several years. As a result, we’ll incur substantial increase in pre-opening costs, particularly since our plans included a handful of large high-profile stores that are scheduled to open in the next two years. Among the new store investments is a dual-gender Ralph Lauren flagship store in Hong Kong, as well as flagship stores for the Polo brand in New York and London. This confluence of flagship store activity is important to elevate the brand equity and image, but puts near-term pressure on our retail segment, as stores of that scale has significantly greater pre-opening costs and a lower profit contribution early in their development cycle. With respect to infrastructure, the largest area of investment continues to be SAP implementation. In fiscal 2015, we will be completing the transition of our North America wholesale operations from legacy systems to SAP, and we will begin the implementation process in Europe. Based on the current scope of the SAP initiative, fiscal ‘15 will likely represent the peak level of investment for us. While we anticipate substantial SAP costs in fiscal ‘16 and ‘17, we currently expect them to be below 2015 level. Over time, we believe SAP will enable productivity improvements and procurement savings in addition to providing the company with a robust global platform for future growth. We also intend to begin a three-year project to upgrade our global e-commerce operating platform. We’ve been operating on our existing platform for over a decade. While it continues to serve us well, we are proactively investing in capabilities that we believe will support accelerated revenue growth through increased productivity and improved conversion rates. Consumers are clearly choosing to shop more online and our objective with the new platform is to create world-class shopping experiences that place us on the leading edge of the industry. To do this, we’re moving to a more flexible platform, one that can better service a growing range of devices and enable more omni channel capabilities, as well as more sophisticated CRM activities that should drive stronger engagement, retention and repeat purchases. This initiative requires a mix of capital and operating expense that will likely intensify as the project progresses. We’ve also planned to substantial increase in advertising and marketing. There are three main areas of investment, each of which is aligned with our core growth objectives. The first is incremental funds for Polo brand, largely to support the launch of women’s Polo, the opening of the Polo flagship store in New York City and additional Polo stores around the world. Second main area is to improve our brand awareness in Greater China. We’ve made excellent progress since opening the Prince’s Building store last year, and we intent to build on that with stepped up outreach and messaging, including activities surrounding Ralph Lauren flagship store opening in Lee Gardens. Final area of investment is for our luxury products, both to support the strong trends we are experiencing and to showcase our accessories offerings. All totaled, our planned investment activities represent about 200 basis points of operating margin pressure for 2015 compared to 2014, with global retail development accounting for about half of that investment. We continue to expect these investments to deliver a rate of return that is well in excess of our cost of capital and they are meant to support shareholder value creation over the long-term. With that as backdrop, I’d like to review our initial outlook for the year, which was outlined in this morning’s press release. For the full year fiscal 2015 period, we expect consolidated revenues to increase by 6% to 8%, led by retail segment growth. Revenue growth is expected to be primarily organic, as there is no material contribution from license take-backs this year and we expect foreign exchange impacts to be relatively neutral. We expect our full year fiscal 2015 operating margin to be approximately 75 to 125 basis points below fiscal 2014 level, due to accelerated investment in our strategic growth initiatives and infrastructure. Excluding the impacts of the incremental investment in the company’s strategic growth initiatives, underlying operating income growth would be up low-double-digits for the year. Our fiscal 2015 tax rate is expected to be 30%. A higher level of investment that’s flowing through the P&L is also reflected in our capital spending plans. We are planning approximately $400 million to $500 million in capital expenditures in fiscal 2015 to support our global direct-to-consumer and infrastructure investments, as well as wholesale shop development for the women’s Polo launch. For the first quarter of 2015, we expect consolidated net revenues to increase by 3% to 5%, led by retail segment growth, as wholesale segment sales are expected to be essentially in line with the prior year period. Our operating margin for the first quarter is expected to be approximately 300 basis points to 350 basis points below the prior year period, primarily due to higher operating expenses related to the timing of investments to support the company’s strategic growth objectives. In addition, we will not be anniversarying the one-time gain on the Chaps acquisition that we had in the prior year period, which accounts for about 100 basis points of this decline. The first quarter tax rate is estimated at 30%. Our opportunities for growth are tremendous and our strategies are clear. We are focused on executing with excellence and are committed to being prudent stewards of capital and global brand development. The investments we are making in our long-term growth initiatives along with our new management structure are intended to maximize our sales and profit growth over the long-term. At this point, we’d like to open up the call for your questions. Operator, can you assist us with that?
Operator: (Operator Instructions) One moment please for the first question. The first question comes from Omar Saad with ISI Group. Your line is open.
Omar Saad – ISI Group: Thanks. Good morning, and thanks for all the color heading into ‘15. It’s really helpful. I wanted to ask you a question to maybe get you to elaborate a little bit on some of the realignments in the organizational shifts that are going on and the shared services, especially in the context of the recent announcement around Valerie becoming the President of the Luxury Ralph Lauren brands. Are you going to do something similar maybe with the Polo brand as its growing, and how it kind of all fits together and what’s some of the benefits do you think are some of these realignments around the org structure? Thanks.
Jacki Nemerov: What we’ve done is we’ve really looked at our overall structure, and what our plan was to consolidate our viewpoint of all three regions. So Europe and Asia had already had a consolidated approach between our retail business and our wholesale business. We decided that there was value in doing that in the Americas, and in looking at the overall business in the region between North America and now South Americas in that world, and to be able to really strategize our viewpoint in an omni channel way. So to really look across our wholesale businesses, our retail businesses and make the best decisions as to how we should move forward in the region, rather than with a more siloed approach that we had operated under. So the leadership of that is under Joy Herfel, who has spent 25 years in our company and ran our Polo and children’s businesses, and has obviously run our biggest and most profitable businesses within the company. Reporting to Joy is Kim Roy, who is Head of our U.S. Wholesale business, also a veteran of Ralph Lauren and has been with the company for 11 years. Has done an outstanding job in building the world of Lauren and Chaps and has great visibility during that time for the – to strengthen the balance of our wholesale division. And Kim is often running in her new role. We also promoted and expanded Don Baum’s role, who was Head of all of Manufacturing and Sourcing. We really saw great benefit in combining manufacturing sourcing with supply chain, and Don now has full oversight of that end-to-end seamless execution from beginning to the end of process from distribution out to our stores and our customers. And we believe that there will be great benefit overtime in the seamless and view of that organization. We’ve also had very strong success in our merchandizing organization by taking a global view in our product and our presentation worldwide. And led by David Rosenberg, we started with the consolidation in our men’s merchandizing world and now we are expanding that based on its success addressing SKU count and a more cohesive presentation around the world to the balance of our businesses. And that’s moving along quite well. Valerie in her new role is focused on our luxury opportunity. As you know, Valerie comes to us with tremendous experience. Spent her career in that sector, and we believe that there is great opportunity in building both our apparel and of course our accessory business under her leadership. In addition, we brought in Denise Incandela, who is now heading – came from Saks Fifth Avenue is now heading our online business. And we are very excited about having Denise on board, and the understanding of this space, both as a merchant and as a marketer, as you know she had the CMO role as well in Saks, and think there are many opportunities that we have not yet taken advantage of that Denise has really brought to the table. So, as we are looking at our entire organization and we are looking at the strength of that leadership and the past seven months that we’ve all been operating under this structure, we’ve already seen some very, very positive results. And our Polo brand is really built centrally designed, merchandized, marketed and then distributed in the regions, each taking that as a key centerpiece for what we believe the opportunities are going forward, both in Polo stores, Polo product expansion with women’s and clothing for men’s and of course with the exciting entry into the market of our new store on Fifth Avenue, which is expected to open at around Labor Day, and then of course the Ralph Lauren Restaurant that will follow that opening. So that kind of summarizes our leadership changes.
Chris Peterson: The other thing I would say, Omar, to your question is that, as we’re – really a lot of these moves are meant to globalize the company. And it starts with an underpinning from a system standpoint which is what the SAP project is about, which is what the e-commerce re-platforming project is about. A lot of the management moves that we’re doing are taking multiple organizations that we had acquired over the years through license take-backs that operated in silos, and combining organizations so that instead of doing the same job three times or four times, we do it once. And over time, what we believe and what we’re already starting to see opportunity for is we think that’s going to lead to significant opportunity for cost leverage, which should result in SG&A leverage overtime as we get into the new structure and as we begin to leverage. It also should allow us to be more consistent as a brand across the world, and it should allow us to rollout faster new initiatives from an innovation standpoint. So we’re excited about it. I think we’re early days into sort of this globalization. And I think a lot of these themes are going to play out more fully when we get into fiscal ‘16 than in fiscal ‘15.
James Hurley: Next question please.
Operator: Thank you. The next question comes from Michael Binetti with UBS.
Michael Binetti – UBS: Good morning guys. I guess two quick questions here. One is, as I think about the factory outlets in the U.S. I think those have been struggling with traffic for a lot of last year. And those are obviously very big percent of the U.S. retail comps. Can you tell us a little bit more about your thinking in that channel based on what you’re seeing now, and if you think sales there turn back to positive in fiscal ‘15? And then Chris, you also talked about – obviously gave us a lot of good color on a number of initiatives that are baked into the SG&A guidance for this year. There was a lot of projects that have varying durations, and as we look at the longer term comments that you’re making and think about our models which tend to focus on longer term for the Ralph Lauren company in particular, how you guys are thinking about maybe some of the payback period analysis that you did, or whether the EBIT margins can start to expand as soon as fiscal ‘16? Thanks.
Chris Peterson: Okay. I’ll start with the factory channel. So in the fourth quarter, we saw actually very good growth in the factory channel in Europe and Asia. The U.S. factory business was down in the fourth quarter and that was because we saw traffic – again our fourth quarter is Jan through March, and the traffic trend that we experienced in the fourth quarter was down double-digits in traffic in that period, which had a significant impact in the company’s comps. The encouraging part of that is that in the first quarter, to-date, the first part of April and May, we’re already seeing the traffic trends reaccelerate in the U.S. to the factory outlet channel. So we’re seeing not the same trend that we saw in January-March in the U.S. market. From a longer term perspective on some of the margin trends going forward. I think you’re right that some of the things have different payback periods. So I would characterize if you wanted to parse it into two broad areas. The infrastructure investments that we’re making, whether it be SAP or the e-commerce platform, we’re likely to be in investment mode on an aggregate of those two things for a couple of years, because the e-commerce re-platforming is a two or three year project, where you’re investing before you turn on the new platform. On the flipside, the Polo investments that we’re making, whether it be women’s Polo or the flagship stores, the start of the rollout of new stores, we should start seeing and be able to report a much stronger progress on that as we get towards the end of this fiscal year, because we’ll have experience in the market when women’s Polo launches in the fall, and we’ll began to get some initial reads from the stores that we’re opening. So it’s too soon for us to say how all of that nets together from a fiscal ‘16 and beyond perspective externally, because we typically provide guidance one year out, but that’s a little bit of how we expect the underlying trends to play out.
James Hurley: Next question.
Operator: Thank you. The next question comes from David Glick with Buckingham Research.
David Glick – Buckingham Research: Thank you. Just continuing on that trend, I think the concern that we’re hearing from investors is that the operating margin has been down, let’s just call it 100 basis points a year FY’14 and then kind of taking the midpoint in FY’15. You’ve given us a lot of qualitative. I mean is it reasonable to assume that you could see at least some margin stabilization in FY’16 assuming that the Polo initiative and the new store openings open as you plan them? And then second for Jacki. Just when will we start to see the Polo women’s merchandize in stores? And I am curious what to make up the American Living appearance at Macy’s, whether that’s a significant opportunity for you guys?
Chris Peterson: So I guess on the operating margin. Let me start with fiscal ‘14 just to make sure we’re clear. So in fiscal ‘14, the primary driver of the operating margin being down in fiscal ‘14 versus the year ago was foreign exchange. So if you took out the impact of foreign exchange on our profitability, our earnings per share would be up double-digits in fiscal ‘14. In fiscal ‘15, I think we’ve provided perspective around the impacts of the investments, which together account for 200 basis points of the operating margin pressure, which the midpoint of our guidance range is down 100 basis points. So if you looked at the operating margin excluding those investments, the operating margin would be up 100 basis points in fiscal ‘15. As I mentioned on fiscal ‘16, there is going to be varying impacts of these investments, because they have different payback periods. And we’ll provide more color on that in our normal guidance pattern as we go forward.
Jacki Nemerov: On Polo women’s, David, we’ll start to ship Polo women’s in mid-to-end August and the first impact will be in our retail stores over the Labor Day weekend, and in our wholesale customers approximately the same time. We are building beautiful shops as a backdrop for the Polo women’s brand. We have a lot of confidence in that opportunity, and feel that, as I said we can get relation to what we are doing in Polo men’s and which we’re fairly confident about that we can really grow that business and we’re really excited about our fall shipments for that brand. As it relates to American Living, as you know we had exclusively at J.C. Penny up until the time that they have their change in management. And for many reasons we decided to withdraw the brand from J.C. Penny. Interestingly, we had built it into quite a big successful volume brand for J.C. Penny and felt that it had that a great future and kind of put it on the sidelines until we could determine what the next opportunity might be. We had a great conversation with Macy’s and we decided that we would utilize the American Living brand in conjunction with their American Icon marketing strategy which incorporates Memorial Day into July 4 into Labor Day. And so we shipped the brand for beginning of April. And it has been a very exciting launch so far, and we are very, very pleased with the results. We have another concept package going in for holiday. And then I believe we’ll determine how we build the brand and opportunity from there. And that’s – as I said, it’s very early days at this point, but nice results.
James Hurley: Next question please.
Operator: Thank you. The next question comes from Kate McShane with Citi Research.
Kate McShane – Citigroup: Thanks, good morning. Is there any sales pulled into Q4 from Q1 and that’s why we’re seeing deceleration in the Q1 top line guidance, or just Q1 fiscal year ‘15. And is there a change in guidance as you conveyed today on the top line, I had noted that you were guiding high-single-digits for fiscal year ‘15 and now 6% to 8% it seems a little bit lower than that, so I was hoping you can reconcile that for us? Thanks.
Chris Peterson: Sure. So on the first question, I would say, yes. There was a little bit of shift in timing of the wholesale business. March and April are in a lot of cases viewed somewhat together. And so we do have a set of shipments that go out March 25. Some of those shipments went out a little bit early at the request of our customers, but it wasn’t a material impact. One of the key drivers of that is Easter. So I think it’s probably a fair comment that looking at the wholesale business on a rolling basis as opposed to a quarter-to-quarter basis is a more accurate – is a better reflection of the trends in that business. And you see that in our guidance for the first quarter where we had very strong wholesale shipments in the January-March period, but in the April to June period, we’re effectively guiding wholesale shipments about flat versus year ago. Over the six month period, it will be a very strong wholesale pick-up. On the top line for the total company, yes, we expect high-single-digits. I think 6% to 8% is consistent with that in my view. So there is really no change in our thinking there going forward.
James Hurley: Next question.
Operator: Thank you. The next question comes from Lindsay Drucker Mann with Goldman Sachs.
Lindsay Drucker Mann – Goldman Sachs: Thanks. Good morning everyone. Just to follow-up on that question. It sounds as if – even if we were to adjust for some of the shipment timing that you U.S. wholesale business is still running up very strong high-single, maybe a low-double-digit type of growth. Is that – first of all, am I right in thinking about it that way? And second of all, do you contemplate that sort of growth rate continuing as we move into the back part of the year? And for your sales guidance of the 6% to 8% for the full year, how much incremental sales from these new initiatives are contemplated in that guidance?
Chris Peterson: So yes, I would say that the U.S. wholesale business continues to operate very strongly. If you look at the sell-out of the business and our customers, we continue to gain share consistently in that channel. I think the other encouraging thing in our wholesale segment results, is as we talked about at the last call, we had made a strategic pullback in shipments primarily in Southern Europe on the specialty store channel. We’ve now annualized that, and so we’re starting to see a return to strong wholesale growth in the European business as well. And so we had a double-digit increase in wholesale in the quarter in Europe as well. So I think the trends in our wholesale business broadly are very encouraging, and I think we expect them to continue. On the new initiatives, I think the 6% to 8% revenue growth is effectively organic growth in our view. There is no acquisitions in that. There is no foreign exchange in that. I think the women’s Polo impact during the year is going to be somewhat muted, because we’re launching in fall, so we’ll have a part year impact, and we’re replacing the Blue Label business. And so during the transition, I think we see opportunity, but I think we see even stronger opportunity as we begin to get into fiscal ‘16, as we really get behind the women’s Polo line, and as we open more freestanding Polo stores.
James Hurley: Next question.
Operator: Thank you. The next question comes from Liz Dunn with Macquarie.
Liz Dunn – Macquarie Capital: Hi, thanks for taking my question. If Roger is listening, best of luck. It’s been an absolute pleasure. And Jacki and Chris, thank you so much for all the detail, particularly quantifying some of the things like e-commerce and the amount of pressure that you’re expecting next year on the operating margin. In terms of that 6% to 8%, I don’t mean to keep hitting the same point, but does that imply that as we go forward perhaps beyond fiscal ‘15 that the 6% to 8% will accelerate or could potentially accelerate as some of these growth initiatives begin to really kick in? And then relative to the accessories business, are you Jacki, do you think that the progress that we’ve seen so far has been slower than you anticipated, or is it just one of these businesses that takes time to build and now you’re finally seeing some signs that that growth is beginning to accelerate? Thanks.
Chris Peterson: I’ll address the long-term revenue growth. So on the long-term revenue growth, I think our view is that we’d like to try to target high-single-digit growth, sort of on a continuous basis, but in any given year I think we want to be prepared for mid-single-digit growth. And a lot of it’s going to depend on the macroeconomic environment, the timing of initiatives, the timing of store openings. But I think our goal, if you will, is to try to be a consistent high-single-digit type of grower.
Jacki Nemerov: On the accessory front, Liz, I think that we are pleased with our introduction, beginning in accessories in 2008 as that was not a core competence of the company, and we have made it one since in two critical areas, one being the luxury accessory business. And I think that over this last year, we’ve seen some great traction with the Ricky and continue to fuel that opportunity. We’ve also had some great success with our Lauren accessory business. And we are seeing very nice growth in that brand as well. So I would say that in our whole leather goods category, we’ve accomplished a 20% compound annual rate growth. So, look, we always hope for more, but we are pleased with where we are and we think we finally have put in the right foundations to continue to build from.
James Hurley: Next question.
Operator: Thank you. The next question comes from Erinn Murphy with Piper Jaffray.
Erinn Murphy – Piper Jaffray: Thank you. Good morning. I was just hoping, if you could follow up on the strength that you saw in Europe in the fourth quarter. Could you elaborate a little bit more about country specific regional trends that you are seeing? And then with the pace of wholesale growth there, should we assume that whether you are also seeing that type of double-digit growth in the fall order books? Thank you.
Chris Peterson: Yes. So I guess if I were to step back and talk about Europe for the year, we’ve pretty consistently grown our retail segment revenues in Europe, double-digits every quarter for the past year, but we saw wholesale really start to accelerate a little bit in the third quarter and then get to double-digits in the fourth quarter. And that’s what allowed us to translate into double-digit growth in Europe in the fourth quarter, with both, retail and the wholesale at that pace. I think we’re at a place where we expect that to continue in terms of revenue growth going forward in a strong way. If you look at the trends within the region, I think we’re seeing the U.K. is probably the strongest part of our business, the GDP has improved there markedly. I think we’re seeing Southern Europe stabilize. So it’s no longer going down, it’s not necessarily going up, but it’s stabilizing. And I think we’re seeing some strength in the Scandinavia region in Germany and some stability in France. The other encouraging trend that I would point to in Europe is that, as we’ve invested in resetting the brand image in Greater China, particularly with the opening of the men’s Prince’s flagship store and a number of the other luxury stores, we’re starting to see the Chinese tourist business in Europe increase at a significant rate, off of a low base, but we’re up very, very strong double-digits in terms of our business to Chinese tourists in Europe, which is helping to fuel the growth of that business right now. And we think as we open the Lee Gardens flagship store and increase the marketing and advertising spending behind Greater China, where we have a low awareness, we think that’s going to translate through both in Europe and in the U.S. business.
James Hurley: Operator, we’re ready for our last question.
Operator: Thank you. The final question comes from Joan Payson with Barclays.
Joan Payson – Barclays Capital: Hi, good morning, and thank you for taking my question. I just wanted to ask another question on Europe actually and the Polo full price opportunity in particular. Given your store network over there, how many retail stores do you think the region could support overall? And you also mentioned the 100 to 200 store number for Polo full price being a little more weighted towards Asia and Latin America, but how do you really think about the allocation in terms of the regional perspective with those?
Chris Peterson: I think we see a big opportunity for full price stores in Europe. We’re in the middle of prioritizing locations around the world and we’re doing it on a global basis. I think, we think there is both in opportunity in Western Europe and we think there is an opportunity in Central and Eastern Europe and the Middle East for Polo stores. If you think about the allocation of that 100 to 200, I would expect that maybe we could have 20% to 30% of those stores in Europe over time.
Jacki Nemerov: We’re excited also about our London opening on Regent Street for Polo, which we believe will set the tone for Polo in Europe.
Chris Peterson: All right. Well, thank you for joining us this morning. I think we’re pleased with the fourth quarter results that we have reported today I think. And we’re looking forward to coming out and talking more about it and following up with you. And please feel free to call Jim or myself with any additional questions. Thank you very much.
Operator: Ladies and gentlemen, that does conclude your conference for today. Thank you for your participation. And you may now disconnect